Operator: Greetings, and welcome to the Flux Power Holdings Second Quarter Fiscal 2023 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. I will now like to hand the call over to Sean Stuart [ph], Financial Planning and Analysis Manager, Sean.
Unidentified Company Representative: Your host today Ron Dutt, Chief Executive Officer; and Chuck Scheiwe, Chief Financial Officer will present results of operations for our second quarter of fiscal year 2023 ended December 31, 2022. A press release detailing these results crossed the wires this afternoon at 4:01 PM Eastern Time and is available in the Investor Relations section of our company's website at fluxpower.com. Before we begin the formal presentation, I would like to remind everyone that the statements made on the call and webcast may include predictions, estimates or other information that might be considered forward-looking. While these forward-looking statements represent our current judgment on what the future holds, they are subject to risks and uncertainties that could cause actual results to differ materially. You are cautioned not to place undue reliance on these forward-looking statements, which reflect our opinions only as of the date of this presentation. Please keep in mind that we are not obligating ourselves to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. Throughout today's discussion, we will attempt to present some important factors relating to our business that may affect our predictions. You should also review our most recent Form 10-K and Form 10-Q for a more complete discussion of these factors and other risks, particularly under the heading Risk Factors. At this time, I will turn the call over to Flux Power, Chief Executive Officer, Ron Dutt.
Ron Dutt: Thank you, Sean, and good afternoon everyone. I'm pleased to welcome you to today's second quarter fiscal 2023 financial results conference call. Firstly, please note that on slide 3 for those of you who have the presentation, there is a short reminder of what we do. That is electrifying commerce. We are powering material handling, air support -- airport ground support, solar energy storage, Port Authority equipment and other applications with new and clean technology. Now on to our Q2 results. Our second quarter reflected our cadence of strong revenue growth as we continue to focus on fulfilling orders. In Q2 2023, revenues were $17.2 million, up 123% from $7.7 million in the prior year, marking our 18th consecutive quarter of year-on-year revenue growth. In the second quarter of fiscal 2023, we received $20.7 million in customer purchase orders from existing and new Fortune 500 customers, reflecting the alignment of timing of deliveries with customer new forklift orders. To highlight the importance of our building strong relationships with our existing customers, over 95% of revenue during the quarter was contributed from customers with whom we have long-term relationships. Our commitment, consistent performance and trustworthiness are the foundation for long-term sustainable relationships with our customers. Our emphasis on product, service, and quality continues to support ongoing new purchase needs and service requirements. We have experienced that business from our installed base will help drive new customers to our technology. And developing our technology internally also ensures our customers' has the most up-to-date products and services on a sustainable basis. For the second quarter, our customer order backlog increased from $26.9 million to $30.4 million as of December 31, 2022. Our strategic initiatives to improve sourcing actions to mitigate parts shortages, accelerate backlog conversion to shipments, and increase inventory turns has helped to mitigate backlog expansion. These initiatives are also increasing gross margin that will lead to profitability. New orders in Q2 2023 increased to $20.7 million, compared with $19.8 million in Q2 2022 and was 113% higher compared to $9.7 million in Q1 2023. Due to the timing of deliveries of customer new forklift orders arising from supply chain disruptions. We were pleased to see that our supply chain disruptions continued to abate during the second quarter, while at the same time, we continue to pursue strategic supply chain and profitability improvement initiatives. Also and importantly, progress with new accounts was substantial in the second quarter, with two new Fortune 500 customers added, each having seven-figure revenue potential. For the past 12 months, we have taken aggressive efforts to mitigate supply chain issues. We recently launched a project for automated cell module production to manage SKUs and accommodate secondary cells suppliers. We also leveraged increased sales volumes to resource steel and board components to lower costs regions and to higher volume suppliers. Recently, we expanded our in-house our testing and product validation capabilities with all equipment needed onsite to satisfy UL 2530, that's UL Underwriters Laboratory and UN 38.3 compliance testing, which included an onsite vibration table being added to the other equipment eliminating the need to outsource testing for either UL or UN certifications, and of course, expediting the process. During the December ending quarter, we began exceeding lower shipping costs as supply chain disruption ease and we are utilizing lower cost, more reliable and secondary suppliers of key components that meet required specifications. Although our supply chain disruptions have improved, we increased our inventory of raw materials, finished goods and component parts to 19. 5 million as of December 31st 2022, to mitigate supply chain disruptions that were occurring and protect our customers for timely deliveries. We are introducing over the next 12 months new product designs, based on a new modular platform for our battery packs to address customer needs. Some of the improvements include higher capacities for more demanding shifts, easier servicing and other features, to solve a variety of existing performance challenges of diverse customer operations. At the same time, our new designs provide reduction of number of parts, part commonality across models, and improved serviceability. We're now building and shipping the first few models of our new platform and scheduling UL listing, forklift OEM approvals and UN38.3 certification. As the supply chain disruption is abating, as I mentioned, our profitability improvement initiatives have shown positive results and continue to improve margin of shipped packs. Our adjusted EBITDA loss fell again this quarter and decreased by $700,000 to a loss of $900,000 compared to a loss of $1.5 million in Q1 2023 and a loss of $4.7 million in Q2 2022. This was helped by higher revenue, design cost reductions to lower material cost and assembly and other improvements in gross margin. Improved production processes, including progress implementing Lean Manufacturing, have resulted in increased efficiency and higher throughput as well. Our efforts on increasing revenue and margin improvement, specifically for adjusted EBITDA are reflected on slide seven, showing the upward trend over the past fiscal year. We're executing our specific supply chain and cost reduction initiatives to continue this momentum. We implemented a $5 million subordinated line of credit facility on May 11 of 2022, included $4 million of signed, committed credit availability. We recently announced and amended agreement to increase the availability, available capacity of our Silicon Valley Bank working capital line of credit by $6 million to a total of $14 million, to support our higher working capital requirements related to increase customer demand. The current availability on the SVB line along with a $4 million of subordinated line of credit, provide the working capital needed to meet our goals. Our current and potential pipeline of customers continues to expand with two new Fortune 500 customers this past quarter, and a full product line that caters to large fleets who seek a relationship partner to meet their ongoing needs. These customers represent a diverse base in multiple sectors, all of whom are seeking lower costs and higher performance lithium-ion solutions. Our primary revenue has come from orders for our packs for new forklift and GSE that's ground support equipment deliveries. As customer adoption of lithium-ion, tax increase across fleets, we anticipate adoption to increase orders to replace lead acid batteries that are at the end of their lives. We have taken actions to restore our gross margin improvement path. As highlighted on Slide 9, our gross margin improved sequentially to 24% in the second quarter of 2023, from 22% in the first quarter of fiscal 2023 and from 20% in the fiscal fourth quarter of 2022. All this reflects the progress and restoring our gross margin trajectory. Our improvement initiatives include a number of actions that have begun to impact gross margin. Price increases on new orders, increased back volumes, more competitive shipping costs, lower costs, more reliable and secondary suppliers of key components, improved manufacturing capacity and production processes, new product designs to lower costs and finally, transition of product lines to a new modular platform, all of these are part of our plan to accelerate gross margin improvement. As supply chain disruptions has improved as mentioned earlier, we have also achieved production, process improvements and better supply chain management. During the quarter, inventory increased to 19.5 million from 18.9 million at September 30, 2022 reflecting a trend towards normalization of backlog and inventory levels. On the technology front, we continue to see customer interest in our proprietary sky BMS telematics product, which provides for remote fleet management and monitoring, and delivers battery pack data to optimize performance and customer fleet tracking. I'm happy to report that customer feedback remains very positive with Flux Power as the leader of the technology for these applications. We intend to place a high priority on continued development of features and capabilities for warehouse managers to increase their productivity and reduce their operating costs. Looking beyond reaching profitability, and building on our success in the material handling industry, we're also focused on broadening our reach into related verticals, such as warehouse robotics. With our operational strategy, including six assembly lines, we are well positioned to continue to leverage our capabilities as the adoption of lithium energy solutions continues to accelerate. With that, I will now turn it over to do Chuck Scheiwe, our Chief Financial Officer to review the financial results for the quarter ended December 31, 2022. Chuck?
Chuck Scheiwe: Thanks for Ron. Now turning to review our financial results in the quarter ended December 31, 2022. As Ron mentioned, revenue for the fiscal second quarter of 2023 increased by 123% to $17.2 million, compared to $7.7 million in the fiscal second quarter of 2022. This was driven by increased sales volumes and models with higher selling prices, including increased sales existing and new customers. Gross profit for the first second quarter of 2023 increased to $4.1 million. This was compared to a gross profit of $1 million in the fiscal second quarter of 2022. Gross margin was 24% in the fiscal second quarter of 2023, as compared to 14% in the fiscal second quarter of 2022. This reflects higher volume of units sold with higher gross margins, and lower cost of sales as a result of the gross margin improvement initiatives we have discussed. Selling and administrative expenses increased to $4.3 million in the fiscal second quarter of 2023. This is compared to $4 million in the fiscal second quarter of 2022. This was reflecting increases in marketing expenses, commissions, insurance premiums, depreciation, recruiting costs and our outbound shipping costs. Research and development expenses decreased to $1.2 million in the fiscal second quarter of 2023, this is compared to $2.1 million in the fiscal second quarter of 2022 and this was primarily due to lower staff lending expenses and timing of expenses related to development of our new products. Adjusted EBITDA loss was 900k for the free month ended December 31, 900,000 for December 31, 2022. This was an improvement from the $4.7 million for the three months ended December 31, 2021. And it was $2.4 million for the six months ended December 31, 2022. That's a 71% improvement from an adjusted EBITDA loss of $8.5 million for the six months in December 31, of 2021. Net loss for the fiscal second quarter of 2023 decreased to $1.7 million from a net loss of $5.1 million in fiscal second quarter of 2022. This is reflecting gross margin profit from higher revenue and also partially offset by increases in operating expenses and interest expense. Our cash used in operations for the six months ended December 31, 2022. It declined by 88% to $1.9 million compared to the first six months a year ago. We ended the fiscal second quarter of 2023 with $200,000 cash and we have our $14 million working capital line of credit with Silicon Valley Bank, as well as our $5 million credit facility of which there's $4 million of signed committed debt availability. These are both resources to manage working capital needs. We believe that our existing cash and additional funding available under our SVB credit facility and our subordinated LOC will be sufficient to meet our anticipated capital resources to fund our planned operations for the next 12 months. As we discussed, we fully intend to avoid raising equity capital prior to recent profitability. We are on track. We are executing to our gross margin improvements. And we are working through our cost control initiatives. And we continue to explore increased options for our working capital availability. Now, I’d like to pass it back Ron to offer some closing remarks.
Ron Dutt: Thanks, Chuck. As Chuck mentioned -- and I'm going to say this again, because it's important, we fully intend to avoid raising equity capital prior to reaching profitability, which is currently our top priority. Looking ahead, we believe the combination of existing customer orders and acquisition of new customers who wants the benefits of lithium ion technology and drive continued revenue growth. Product, service and quality are key factors as to why we continue to win business, and will ensure our goal to continue our growth trajectory. Our current production facility should support annual revenue well beyond $100 million annually, given our facility footprint, second chip build out that's beginning and lean manufacturing input implementation that is in progress. In summary, we are well-positioned to execute our strategy of electrifying commerce, as we offer customers stored energy solutions to increase productivity at a lower product life costs. We are encouraged by strong purchase orders, improving backlog and continued expansion of margins through improved sourcing and supply chain management, continuing process improvement and pricing. We continue to execute actions to improve adjusted EBITDA as shown on slide 7, which is a key indicator to achieve profitability. And further, we anticipate expanding into new markets having strong demand for our value proposition of higher performance and service at lower cost. I look forward to providing our shareholders with further updates in the near-term as we continue to leverage our leadership position in lithium ion, technology solutions, and with our growing list of new and diverse large customers. I thank you all for attending. And now I would like to handle the call over -- to the Operator to begin our question and answer session. Operator?
Operator: Thank you. We will now be conducting a question and answer session. [Operator Instructions] Our first question comes from Amit Dayal with H.C. Wainwright. Please go ahead.
Amit Dayal: Thank you. Good afternoon, everyone. So there are -- a lot of emphasis on gross margins and cash flows. Where do you expect to sort of be with gross margins, say in the next 12 months?
Ron Dutt: We get that question asked a lot. And we've been advised by some pretty good sources, not to give guidance at this point with blocks at this stage, but I think we can give you the direction here that you can probably figure it out yourself. You can see our trajectory on gross margin that's continuing, we're executing to very specific set of actions. They're going to get us to profitability. We meet once every week on this very, there's a lot of opportunity on supply chain, design cost reductions and other actions as the growing emerging company like we are as we build volume that really enables us to lower cost in all those areas I mentioned. So run that trajectory. And then look at the other trajectory on our revenue. And our revenue is -- has a pretty consistent trajectory to it. And we are continuing to bring on new large customers; some of our key customers have hundreds of locations around the country that we deliver to. So we have developed that infrastructure, production, delivery and service to support that. We're getting other companies that are seeing that other large fleets, our sales guys are working on that, we see that trajectory -- our trajectory continuing with that. We're not losing customers, from time-to-time we see through the supply chain disruption that there can be some rescheduling of time -- the forklift manufacture; some of those lines can run into delays as well. So our packs are aligned with timing of the delivery of those forklifts, so you can see a little movement here and there quarter-to-quarter, but we're very confident on the longer term annual pace of our business, and the customer. So run that line out and you'll see that when you do that it's in the very near future, you'll see the very impressive quarter-over-quarter, quarter-over-prior year increases in our margin, and getting to that breakeven is a combination of continuing growth of revenue projection, to cover our infrastructure and operating costs that are in place to bring on these new large customers that we can serve, and most importantly retain and keep happy.
Amit Dayal: Got it. Thank you for that Ron. And then just, in the press release, you highlight that a lot of business is still coming from existing customers. Is there any risk of saturation, reaching saturation with those customers, or is that runway still pretty strong for you?
Ron Dutt: Yeah. It's -- there's a lot of momentum to it. Let me put it that way. These fleets have many locations, as I mentioned, they don't convert to lithium all at once it's too disruptive. And it's really, as I referred to earlier, it's tied to primarily whenever they need a new forklift, then they will add the new lithium pack. So it's an ongoing month after month, quarter after quarter to do that. And -- so we can cancel that out quite a few quarters and years and particularly as they can convert all their facilities. And then then you get into ramp 2 [ph] and VANTAGE AIR when those have to be replaced. And that's not to mention that the forklift, particularly larger ones, that forklift lasts longer than the battery. So I think as the operations, we think that we will start seeing more replacement of lead acid batteries as that lead acid batteries, which typically have a shorter life need replacement and once they see and get comfortable with the operating and benefits and operating environment and -- of the lithium, they will, some of that will begin. So we see that continuing, I'd say and I'd say secondly, and probably as important as anything. Just fly into LAX [ph], New York or any place, look down and see the massive amounts of warehouses and those are just all over the country. We're just beginning to scratch the surface here. The bankers tell us that, you know, maybe 7% 8% penetration of lithium is the current status of electric forklifts. And so there's a long way to go. We're just beginning this. We're just scratching the surface and there's a lot of low hanging fruit. But we add you have to execute and that's what we're doing. So we believe our new customer outreach and acquisition is very promising. And the other key of that -- any of those large customers like investors don't want to be the first one in a deal. And when he sees it – so like customers, we have, as shown on one of our slides that adds -- that's a great leverage point.
Amit Dayal: Understood. Thank you for that. Just one last one for me, Ron. In the last earnings calls, you highlighted, you know, product opportunities in adjacent areas, has there been any progress on that front or even any revenues coming from new adjacent product opportunities
Ron Dutt: Other than, ground support equipment, which were, which is really gaining a lot of momentum. We have felt we needed to focus on a number -- number one priority right now, which is growing that core business that we have. There's a lot of momentum, a lot of opportunity using existing sales channels, production processes. So we have focused on those, I think, to expand the way we see -- we want to expand in the future, which is building scale, we've been saying this for eight years and being the leading supplier to these fortune 100 companies. We're going to have to build scale to do that. So to do that, we need to be profitable, we take capital to grow like that. We don't want to raise equity capital at this point, for all the obvious reasons. The market is not attractive and we feel that we're on a very positive track. We're excited about reaching profitability, and then going into that next phase of growth, which will include a lot of these adjacencies that we've been looking at. We have been exploring, we did projects on 400 volt autonomous shuttle vehicles, we've done projects on solar backup. We have the technology, we have the capability. But growing scale in any of those sectors, there's going to take some capital commitment. So, we're excited about that -- really excited about that. But I hope that explains to you why we haven't been ringing the bell on adjacent revenue the past few quarters.
Amit Dayal: Appreciate that Ron. That's all I have. I'll take my other questions offline. Thank you.
Operator: Our next question comes from Chip Moore with EF Hutton. Please go ahead.
Chip Moore: Hey, thanks. Hey, Ron and Chuck, congrats on that continued great growth and progress on profitability. I want to ask about the rollout of new designs, sounds like you're shipping some new models out to OEMs now. Can you just need to get a sense of when we might start to see some of that benefit from the margins and how we should think about that rolling through the rest of the portfolio?
Ron Dutt : Yes, no good, quite said. We're really excited about that. We started doing this eight years ago, and we were just innovating exploring. And being a first mover, we've had -- been able to have a lot of experience, a lot of battle scars, what's worked, what doesn't, knowing our customers, there's just so much to learn, like in every industry, on the inside, knowing the customer and what they want and the wide operating condition. So, we have we have leverage those lessons. We've been shipping a new we call it G80 pack, 80 volt 200 amp power and 400 amp power versions and shipping those and those in particular have been going to the ground support equipment sector. They're very modular. I am -- very impressive decrease in part count serviceability and the ability to produce. So, that modular type, where it's a little bit like Legos, if you link the battery cells together and modules and either parallel or series that number of them to get -- serves a whole spectrum of different power capability. So, we've got -- we're using that -- those basic modules and technology to develop packs for our full product lineup needs of material handling and ground support equipment. So, we're working on those -- most of our packs, at particularly all the material handling packs, we sell with underwriters laboratory or UL listing, which certifies for durability and safety. We found long time ago, the large customers want that and that gives us an advantage in those sectors. It also gives us advantage -- our packs are durable and safe. And so we're in the process of each of those models and, and typically and family to model we run them through that UL listing, which we're doing right now. And we'll get a big chunk of that done very soon. And then, we need to have the forklift OEMs, review that from an engineering standpoint, because it's gone in airport, Chip. And it's all part of the customer experience for them and relationship with them. So they want to be confident of what they have. So that takes some time too. So all this takes a little more time, than just designing a pack and assembling it and shipping it. But, what it does, it takes a little more time. But those aspects of it provide great, a very convincing to the OEMs and our end-customers that they can be comfortable with the products that we're putting out. So, we look for that over, during this year, over the course of this year to get all those out this calendar year.
Chip Moore: Yeah. Got it. It's helpful and safe to assume that, not having to outsource, the UL listing process that speeds things up a bit?
Ron Dutt: Yeah. Yeah. Yeah, it does. Because, in the world of lithium, the Underwriters Laboratories are being flooded with adding to test, to verify, all kinds of different uses, configures of lithium, from medical to you name it. And so we've noticed a slowdown in our response time. So our reaction was well, we don't want to put up with that. And our answer was to, I mean, we've had a relationship with them since 2016. So, we've done enough business in that relationship. They trust us. They don't do this as anybody, but they will trust us based on our experiences, they are testing ourselves with their oversight. So we can do that. We can accelerate that, very significantly.
Chip Moore: Perfect. And another question Ron, with two new Fortune 500 logos, you talked about? Is that incremental to, I think you talked about two $2 million in last quarter, is there some addition to that. That is first question.
Ron Dutt: Yes, yes, yes, we're pretty careful here to attract new customers each quarter. We tagged our salespeople and incentivize them with this. And it's once who we shipped packs to that quarter, and we secure the relationship with them to the point that we're confident, it's a long-term relationship, we look at the size of their fleet. And project that there going be a very, very large customer. So, a small customer is down the street now. We don't count that kind of business. We're not even focused on that business. But it's the once that we get to that point in that quarter.
Chip Moore: Perfect. And my follow-up there Ron, I think you talked about it was more than 95% of revenues coming from customers that have been around a while. How does that compare to backlog? Really, when we think about some of these new wins you've had and more recent times.
Ron Dutt: Yeah. The backlog really varies a lot. It varies from orders where the customer wants it delivered in six weeks or even less than certain packs, we have a shorter lead time. Two, customers that are projecting out through the end of this calendar year and a backlog, as a footnote, doesn't include letters of intent that we've received for large volumes in calendar year 2024, and 2025 we want to protect their place in the line and some of our very large customers. To give you just a little more perspective on that, so we said our backlog is around 30 million, about a little less than 25% of that won't be shipped until July 1 through December 31.
Chip Moore: That's very helpful. Appreciate all the color. I'll take the rest of mine offline. Thanks.
Operator: Our next question comes from Matthew Galinko with Maxim Group. Please go ahead.
Matthew Galinko: Hi. Thank you for taking my questions, and congrats on the strong quarter. I guess going back to the new large customer wins you announced this quarter. Can you talk about, I guess, where are those customers are in their adoption cycle of lithium-ion and replacement of lead acid and highlight what -- how competitive was the bidding process and what puts guide you over the edge?
Ron Dutt: Okay. So if I understand the question is you want to get some color on, as we acquired these new customers -- sorry, my Apple Watch was trying to answer the question -- new customers and to color on the acquisition of how that goes, particularly, for example, the two new customers we added this quarter? Is that the question I'm asking? I want to make sure I'm focusing.
Matthew Galinko: Yes, that's right.
Ron Dutt: So typically, our sales people will collaborate with the OEM sales force. Toyota Crown, they'll collaborate with major dealers, distributors, occasionally go direct and reach out to these customers or we've had customers reach out to us and say, hey, we're interested in your packs. But we'll want to demo a pack. And so, our people work with them, what kind of pack is appropriate for what you want, they demo it. They -- we work with them some more to make sure they got the right power ratings and the right packs, and then they'll go typically pilot some, and then they'll start ordering. Our whole -- all of our target customers have many locations around the country. So they'll pick one location, let's say, all right, let's start putting lithium in that facility. And so that may be 10, or 50, or whatever. And they’ll ship that, they'll get comfortable with how it works. The operating environment is a little bit different. We got computers on backpacks, they don't, they need a whole giant room to charge lead acid battery, you don't need any of that with us, but I got to keep ours charged, the battery chargers might be a little bit different. So they get comfortable with all that. And the operators need to get comfortable with it. The warehouse, people need to be comfortable, the finance, general management needs to be comfortable with it. And then once you've reached that point, then our salespeople work with them to start planning their needs. That's one of the other facilities and what it begins to look like, when they're going to do it, they have capital budget, expense budgets to deal with. So there's a fair amount of dependencies that drive the timing of that. And so it varies across company, but you can see, it doesn't -- it's not like going out and buying a battery for your flashlight, just to be absurd about it. But so with these two customers, that was started quite some time ago. The good news is once they start down this road utilizing Flux, this is a very sticky proposition. Once we -- we had to perform. I mean, we could screw up and they could drop us and go with somebody else. So we haven't lost any customers. And it's very sticky, so anybody's got to take business away probably has to do it from the standpoint either our service was terrible, or our price was way, way too high. And we haven't been experiencing any of that. So there's a stickiness to it. So it can take longer. But once you get it, it's yours to lose really, that's a general statement on simplifying somewhat, but that's exactly what's been our experience.
Matthew Galinko: Got it. That's perfect color. Appreciate it
Operator: There are no further questions at this time. I would like to turn the floor back over to Mr. Dutt for closing comments. Please go ahead.
Ron Dutt : Thank you, operator. I would like to thank each of you for joining our financial results conference call today, and look forward to continuing to update you on our ongoing progress and growth. If we're unable to answer any question or addressing your questions, please reach out to our IR firm, NZ Group, who would be more than happy to assist you. Good day. 
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.